Operator: Dear ladies and gentlemen, welcome to the conference call of CEZ. At our customers’ request, this conference will be recorded. [Operator Instructions] May I now hand you over to Barbara Seidlová, who will lead you through this conference. Please go ahead.
Barbara Seidlová: Hello, everyone, and welcome on our regular quarterly call. Martin Novák, our Chief Financial Officer; and Pavel Cyrani, Chief Sales and Strategy Officer, will walk you through the presentation, and then there will be room for Q&A. Now I’m handing over to Martin to start.
Martin Novák: Thank you. Good afternoon, good morning, everybody. So as Barbara said, I will cover first 2 parts of the presentation, and Pavel third one. We will do it in a relatively fast way, because most of you probably read the presentation already. And that’s why I will only highlight the most important parts of it. So obviously, the first slide or Slide #3 actually shows you our financial highlights for first quarter and also estimates for 2022. Our important number, EBITDA has increased by 119% year-on-year to CZK 43.7 billion. Net income reached CZK 27.6 billion, which is higher by a few billion than actually net income for entire 2021. Adjusted net income is the same. We don’t have any extraordinary effects, so CZK 26.7 billion. Financial outlook, we are increasing our EBITDA guidance by CZK 10 billion. So original guidance was CZK 85 billion to CZK 89 billion. Now it is CZK 95 billion to CZK 99 billion. Net income is increasing to 45% -- CZK 45 billion to CZK 49 billion. It’s important to say that our current dividend policy being implemented actually for the 2022 profits is coming back to standard levels and standard in our industry is around 60%. Our dividend policy is 60% to 80%. And clearly, if we have -- if we are in such a financial shape as we are today, we would be preferring to move much closer to 80% rather than 60%. And taking 80% payout from the range of CZK 45 billion to CZK 49 billion would bring us to CZK 67 to CZK 73 per share which would be a record high dividend ever that was nominally paid by our company. Our shareholder meeting will be held on 28th of June in Prague, so very similar as last year and the year before. Now let’s look at the next slide where I will comment the most important variances. As you can see, our EBITDA is more than -- has more than doubled actually year-on-year and on existing assets, not taking into consideration those that we divested, it’s actually a 144% increase. The vast majority is actually in segment of generation. Generation segment is up by CZK 20 billion. And there are a few key numbers that are worth noting. So impact of pulp prices both those that were achieved on our forward sales, but also those that we are achieving on unsold part of our production, as you will see further on Slide 16 actually bring almost CZK 14 billion. We also had extremely strong -- as strong as ever. This is a record high output or actually income on our Prodej trading activities. Last year, Prodej trading was achieved for the first quarter CZK 300 million. This year, it’s CZK 5.2 billion. So CZK 5.2 billion is actually CZK 4.9 billion higher than last year. And just to give you a perspective, our normal trading result when the times were not that volatile, was about CZK 1 billion, maximum CZK 2 billion per year, and it was deemed to be success. Now it’s actually CZK 5 billion in 3 months. So high volatility combined with trading skills of our team, brought us actually a record high profits from this activity. So this is something that is very difficult to predict, of course, and it just cannot be planned for. Then we had a few CZK 8 billion worth actually of special items or one-off items, however, you call it, that are also very difficult to predict, CZK 4.3 billion is related to sale of carbon credits that we actually sold during the first quarter. And as you know, many companies in our industry are searching for liquidity just because of high margin costs due to higher power prices, an issue for most of us is 2022 when most of our power was sold at the levels of around CZK 50, and now the power prices for quarterly products are CZK 250, but there were also EUR 700 on 7th of March, which required extreme level of cash to be provided by the sellers on the power exchange, including ourselves. So one of the ways how to secure as much cash as possible in a fast way of selling our back carbon credit that would be normally used, and they would normally be part of our cost of making power. And this brought us a P&L effect of CZK 4.3 billion. Of course, we immediately bought the carbon credits back with the supply of those by the end of the year. So technically, we released cash and we did not incur any additional cost. But from an accounting point of view, all the profit is realized actually in first quarter, and then we are kind of burning the credits at the market price. But -- so all the profit that is now borne in the first quarter will be actually consumed during following 3 quarters. And there is another CZK 3.5 billion of revaluation of gas contracts for our gas plant in Pocerady, where securing cheap gas last year leads to revaluation in first quarter of CZK 3.5 billion. So those are the special items of the items that are difficult to plan for, but vast majority is coming of the variance is coming from higher power prices and trading [results]. We had a negative variance actually in sales segment. As you can see here, negative CZK 2.4 billion, this relates to the fact that we acquired a few hundred thousand customers due to a few significant suppliers last fall. And of course, you don’t have enough power for such cases. So we have to buy power for them. And normally, they are paying advances in the same level basically but the power is -- has a different price depending on the time of the year. So we actually suffered some loss on our sales -- retail activities and B2B segment to be recovered later on in the year. Next slide just demonstrates what’s happening on a gas market and how it should translate into electricity, power prices. Clearly, power today is a function of gas. And we have to take all the measures to prevent us from getting into travel of us in a sector with power prices that will be too high. Good news is that 1/3 of the year is behind us. So we actually supplied power, got the money from our customers and also got the margins back. So now the 2022 issue is only 66% of what it used to be at the beginning of the year. Next slide, actually, year-over-year changes in net income, of course, the largest 1 and the 1 that is first noting is actually EBITDA that we discussed in detail just a few moments ago. We also have a higher -- a little bit higher depreciation and amortization due to faster decommissioning of coal plants. We did not have basically any impairments. So there is a positive variance, and that’s probably the thing that is. And the only thing that is worth noting is actually negative CZK 2 billion, which are offering currency losses that are related to margining, actually where the Czech crown has strengthened in the meantime. Now it has weakened again. So that’s what it is. Just to give you a perspective, I think on the 7th of March, 8th of March, our exposure to margining was the highest. And we had on margins actually invested CZK 100 billion or something like EUR 4 billion during the day. So the situation is really -- it’s important to watch it. Next slide actually shows you our outlook. That’s what I said. We increased our outlook due to our guidance, due to significantly higher prices, higher profits from commodity trading. We have a few risks also selected and listed and dividend is something that I’ve already discussed with you. Selected important effect of events in 2022 first quarter, we managed to go through an auction of CapEx subsidies. In total in the Czech Republic, CZK 3.5 billion counts were awarded to CZK 1 billion actually is awarded to us. 17 projects out of 22 projects that we submitted were awarded a support total capacity, 173 megawatts we must finish those projects by -- within 60 months. And next round of auctions is expected in the second quarter of this year, again, CZK 3.5 billion. So good news on photovoltaics front, now we are really ready to go and we can actually start further development and construction of the project. We also issued our first sustainability-linked bond on April 6, EUR 600 million bond was issued coupon 2.75%. And it is actually related or linked to our carbon intensity should we not actually achieve our carbon intensity target, the coupon in the last year, 2027, will be increased by 0.75%. So simply said, it would be something like 0.15% every year. And we also, with our ESG -- with our ESG initiative that was actually announced last May, we made a significant progress. We today according to MSCI are reaching A rating, which means we are upgraded by 2 notches from BBB and we were upgraded actually on April 8. And now we are in a top service 3 energy companies in ESG area. So significant move, very similar on S&P Global from ESG point of view, we increased from 63rd percentile to 72nd and sustainable takes also improvement on our ESG scoring system. Tender for the contractor-construction of the new nuclear plant was launched on March 17, that was a significant milestone by November 30, we -- the base initial bids are due, final bids are due in the first quarter 2023. We will receive state comments on the tender by Q1 2024 or in Q1 2024. And final signing for the contracts will be -- will happen by the end of 2024. It’s important to say that basically, government is financing the project construction phase with interest free loan and then providing us a contract for difference, basically, that will secure a return on our part of the investment, which is basically preparatory and planning phase. Now Generation Mining. Generation segment EBITDA, I basically already provided you comment because the largest variance are just increase in our EBITDA of CZK 28 billion actually is coming from this segment. So you can only see a breakdown into power sources, 0 emission generating, which is nuclear renewables, fossil fuels, trading activities and specific temporary effects that I just described. So we have more retail actually under the table. Mining segment is also doing better than last year, a 25% increase due to higher demand for coal from CEZ Group, but also external customers and also some -- and due to higher demand, they had somewhat higher operating expenses, of course. Mining volumes similar to last year. On next slide, you can see actually generation estimates for full year and also quarter 1 real numbers on quarter 1, we are basically flat, plus 1%, nuclear facilities, 3% improvement and actually renewables 17% lower, mainly due to worsened average weather conditions in shorter increase -- basically of weather conditions -- hydro metrical conditions. So in the Czech Republic, we did not that enough snow this winter, basically in snow. So hydroplants are not doing that well. On the other hand, partly compensated by Germany, where we had a relatively bad wind conditions in 2021. Despite all of that, it’s 17% lower due to the hydro conditions in the Czech Republic. On a full year basis, we would plan to keep our nuclear pounds flat. And due to hydro conditions positions actually and, on the other hand, very good hydro conditions in 2021, we are planning a slight decrease in renewable generation. Coal and natural gas generation, we are down by 10%, mainly on gas because of the setup of the prices and power prices. So it was not worth running CCGT as much as before. Now for full year, we actually expect [flight] generation from natural gas increase, some increase in Poland and some increase in cogeneration in the Czech Republic, mainly due to shorter outgates and higher power generation at our -- the only hard coal plant that we have in the Czech Republic, more of its due to, again, favorable power price conditions. And last 3 slides -- of our carbon intensity is basically flat compared to first quarter of last year, and we are actually on track with our targets. We are also showing sulfur dioxide, nitrogen oxide, so there in basically all segments we are doing better than before. And again, as I said, it’s very realistic that we will achieve our targets. Very important 2 slides at the end of my section. It’s Slide 16 and 17. Actually, this is the answer to why we have such an increase in our revenue. At the beginning of April, we had 8% of electricity and so bundling terms of sales because we are selling at current prices that are quarterly products are about EUR 250, but shorter term and peak products are much higher. So it will constitute about 22% of our revenue and it will move our average achieved price, which ports until now it’s EUR 80 per megawatt hour to the level of EUR 95 to EUR 98 per megawatt hour. So significant increase in average achieved price which will also -- and that’s the reason why we also actually changed our guidance for full year. Emission allowances, we have 12% open position remaining ovens are actually hedged at EUR 35 per ton. Natural gas, all gas supplies to our customers, retail and wholesale are 100% secured and this open position that we show you here is actually open position on the CCGT plant, where 57% is hedged, 40% is still open, which -- but with a CCGT that this kind of peaking plant taking advantage of market is not that important information. Hedging in general for 2023, we are currently at EUR 70.9 2024 similar level of 2025, EUR 76.3, for all those years, the power prices are significantly higher. So hedging actually at the high level means that average achieved price will clearly go much higher. Similar picture on carbon credits, 45.8, 3.1 in terms of prices and of 2025 variable volumes so far hedged at current price of EUR 91.6. So that’s all for me. And now I will hand over to Pavel to present distribution and sales.
Pavel Cyrani: Thank you, Martin. Looking at Page 19 with a quick overview of the Distribution segment, we see a flat quarter year-on-year for the distribution segment EBITDA. And in terms of electricity distribution/consumption, we see a 4% decrease. I will comment that on the next page. As you see, it is mainly driven by the household segment, which is again mainly driven by temperature. We have a milder winter than last year. Temperature adjusted, we see a slight drop about 1%, which we basically attribute to 2 things. One is, number one, even beyond temperature, there is some drop in the household segment attributable to people going back to the offices. At the same time, and you see it also on the left-hand side of the page, we also see some drop for the large customers and some drop in the retail customers and that we attribute to there is actually some sensitivity to the very high electricity and gas prices. This is for electricity. So there is some kind of demand response to the higher prices in the conformer. In terms of the supply segment, as Martin described, we had a rather slow Q1. Overall, you see that we have a -- can you hear as well, we had some beeping sound?
Operator: The line is back, yes.
Pavel Cyrani: So in terms of -- can you rephrase it. In terms of financial results, you see that we had a weaker Q1, and that was predominantly driven by this differential in payments received from the customers that are uniform throughout the year and the cost means normally somewhat higher in winter, but obviously extremely higher this winter. At the same time, we had a significant inflow of customers that you see on the next page on 22, that resulted in both higher volume of action gas delivered and also a higher number of customers in absolute terms. This was mainly driven by the fact that there was quite a number of suppliers going bankrupt or stopping operation and we attracted the customers from these. Obviously, they put some strain on us in terms of securing additional electricity, especially in this winter. But overall, we believe that this is a good step in increasing our consumer base and for the future, increasing the results of the sales segment in both households and corporate customers. Now on Page 23, a couple of points. Number one, just is still the kind of stable point in the otherwise very volatile energy sector universe in the Czech Republic. And therefore, we have been alerted to 1 of the suppliers with the highest credit with the customers. As I said, we attracted a number of customers we help more than 400,000 customers to deal with the fact that there are suppliers stopped operating and too many of them that they transfer to CEZ just eventually. Also, the situation with a large number of customers that we had to serve sped up our digitalization efforts and in February, we have introduced an updated application for Internet self-service, which help us to service customers faster. In terms of the Energy Services, also higher prices of gas and electricity is driving the demand for energy services. You see that year-on-year, we see 33% growth, both in Q1 and then overall year-on-year expectation. And I think that’s it. And these are the trends that we should see also for the further years. Thank you for listening to presentation, and we are ready for questions.
Operator: [Operator Instructions] We have a first question. It’s from Piotr Dzieciolowski of Citi.
Piotr Dzieciolowski: Good afternoon, everybody, and thank you for the presentation, very helpful and a very good set of results indeed. I wanted to ask you about the lignite profitability, how long do you see this being maintained at the current levels? I mean your EBITDA on fossil fuel was, I think, 4x or 5x what it was a quarter like last year. So that would be the first question. Like at what point do you see the compression of the clean [indiscernible] spreads? And do you see also the expansion of the margin in the upcoming years? So that’s the first question. And then the second question I would have around the [nuclear] project because the tender is on the fourth quarter 2023. But I just wanted to understand about this option positioning. So you have a put option and government has a call option, but does this mean that these options have to be executed or the government can actually come to you and say, why don’t you take part in the project as you have so much 1 on the balance sheet. And this would be my 2 questions.
Pavel Cyrani: It’s Pavel speaking. Now on the lignite profitability, obviously, what you want to look at is the so-called clean spread on the market. It was the case some months ago that there would be a very high spread for the frontier but lower and lower spreads or looking for the future -- in the future. Now if you look at the market today, I think the clean spread is -- it looks very good until as far as the market liquidity goes until ‘25, even ‘26. So this is what we are seeing in the market. Now if I kind of rephrase the question back to you is that how long will the gas prices stay high because this is basically what drives the profitability of the lignite plants. It was the case that the market saw that the gas prices will decrease pretty significantly pretty soon. Now we see higher gas prices being quoted even for the further years. how that will be impacted by the development around the conflict in Ukraine this is to be seen. But for the -- for the next years 1, 2, 3, where we are hedging is that we see a very interesting profitability for the lignite station. Now on the nuclear.
Piotr Dzieciolowski: Can you say how much, for example, is the Ignite EBITDA embedded within the guidance for this year?
Pavel Cyrani: If you look in the back up, you should be able to find the slide, I...
Piotr Dzieciolowski: That’s okay. I can follow up with Barbara.
Pavel Cyrani: Now on the nuclear let me just describe how exactly it works. The way the contract for Phase 1 with the government is set up is that unless it is being replaced by a new contract, this contract actually ends with the projects being taken over by the government. So this is the way the optionality is set up. There needs to be a new contract concluded that will replace the old one. If there is no contract concluded, the project is being taken over by the government. Now the conditions for the new contract are currently being negotiated. And we don’t see any changing dynamics for the negotiation of the contract because if maybe for -- because it’s -- the contract stabilizes the price both ways. It brings stability for -- in the price both for the investors at CEZ, but it also brings stability for the government. So I think the government is happy that it will be able to tell the consumers in the Czech Republic that through this contract, they will be basically shielded from potentially high prices such as that we see in the market today. So we don’t see any change in dynamic the way the contracts are negotiated.
Martin Novák: Basically, it’s not a good option of government to put it on us, but they have a call option to call it if they want, and we have a put option to put it on them if we want or if there is no new contract, it’s automatic, right? So it cannot happen that we would be left with the project that we don’t want to be in. And that was the main reason why we negotiated for years with government this type of arrangement.
Piotr Dzieciolowski: And just a follow-up. Do you see yourselves given you kind of -- definitely, you made a tremendous amount of money with this power crisis. Do you see yourselves potentially if the conditions are right, being part of the nuclear project? Because at the moment, the kind of market -- I believe market thinks you’re not going to be part of the CapEx program for the nuclear. But actually looking at your balance sheet potentially, there is money to fund it. So do you -- would you accept -- would you consider such as a scenario that you are part of it with some equity contribution?
Pavel Cyrani: Look, the way -- and the reason that the government came up in the discussion with us with the concept that is on the table at this moment was to drive the price for the consumers as low as possible. It was not driven by the fact that CEZ has or does not have equity to invest in the project. But if the government wanted the price to be between EUR 50 and EUR 60 in the 2020 terms. And obviously, that is achievable only with cost of capital for the construction and then a very low 2% for the actual operation. Now even if we did have equity and wanted to invest in it. Obviously, we would not be investing at these returns, and that would spoil the price that the government is kind of striving for.
Martin Novák: And so what we do with spare cash, definitely keep on developing of our renewables portfolio in the Czech Republic, ESCO activities acquiring ESCO players actually in the Central European market, Germany, Northern Italy, where we are still growing. And of course, as we also noted today due to higher results, we would be able to pay higher dividend.
Operator: The next question is by Arthur Sitbon of Morgan Stanley.
Arthur Sitbon: The first one is on the -- on the very good conditions that you’re benefiting from on your fossil fuel activities. I was wondering if in any way that could put at risk or slow down your coal closure agenda? That’s my first question. The second question, a quick one on the ESCO business. You show quite strong organic growth numbers. I was wondering if you could give a bit more detail on those organic growth numbers where does the growth come from? What are the segments that are particularly successful? And the last point -- the last question was if you could comment on the potential impact on your activities if there were to be an interruption of gas imports from Russia?
Martin Novák: Now on the coal closure, I think it’s the right question, but honestly -- can you hear us?
Operator: Your line is back.
Martin Novák: Okay. Thank you. On the coal closure, I think it’s the right question. But honestly, it’s too early for it. Our kind of -- base case expectation is that along with the lines of the European Union goal to reduce the dependency on Russian gas to 0 by 2027. We expect that the situation will kind of normalize by then and if not by 2027 soon after by some reduction in consumption and also a significant buildup of alternative ways to deliver gas to from other parts of the world, LNG terminals, new connectors within Europe and so forth and so on. So from this perspective, one, since we expected the coal closure and the reduction in capacity and production to be speeding up towards 2030, we basically, in the base case, don’t expect a significant change in this. We do -- and you see it already in the numbers that we are running on a higher utilization this year, we were planning to shut down 1 station in that part of it next year, and we will extend probably 1 to 2 years before the situation kind of stabilizes again. But in terms of the kind of, as I said, overall targets, we don’t expect a significant change. Obviously, depending on how exactly this whole thing kind of evolves and whether these expectations and goals that we see in the market do materialize. In the -- for the ESCO and Energy Services, you see that we see a strong growth across segments and across markets. It’s driven by energy savings. So we are kind of constructing a lot of the centralized generation photovoltaic, bringing energy savings. So modernizing the way people heat their offices and how they produce heat. We have concluded several partnerships with large industrial customers who finally make the step that they want to change the way they produce energy, be it steam or hot water for their industrial processes. So a lot of the things that people have been discussing about, and we saw some kind of pilot projects, we finally see them happening. Now you may ask why with such a strong growth in revenues, we don’t see a corresponding growth in EBITDA. And there are 2 answers to it and both are temporaries. So actually, I’m pretty confident that the organic growth will translate into EBITDA growth as well. And the 2 temporary effects are as follows: we use gas for some decentralized heat generation. And as it is with all hedging, the hedging is always kind of only 95% working, which in a normal situation is okay. Now with like these extreme strength in gas prices, we had some temporary impact on the profitability of our cogeneration, gas cogeneration stations. That’s number one. And number two, we also see some temporary kind of supply shock. So prices of both components and also prices of personnel -- of staff are growing. So with some increased costs, which we need to -- which we need to translate into the prices kind of over time. So that’s for Energy Services. And last but not least, how would we be impacted by gas interruptions? Now -- it kind of depends on what kind of gas interruptions are we talking about? We have close to non-direct contracts with Gazprom Export. We do have one, but very small and only limited until the end of this year. So there, the impact is, as I said, kind of low to very low to zero. Now if there was like a significant interruption that would lead to actually countrywide regulation of gas supply that would translate in like the first thing that would be disconnected is electricity generation from gas. That’s kind of the first regulatory degree where these stations are disconnected. So that would be eliminated. And then the gas would be distributed to consumers by kind of a specific order depending on the priorities. There is legislation for this with -- honestly, it has been never used, and it is not clear how it would work out financially, but that would actually only impact, if anything, our gas supply business, which, obviously, in these overall numbers that we are talking about has a very limited share and the overall electricity business would be impacted anything probably in a positive way because interruption in gas would increase the electricity prices again. So this is kind of the overall description. Now we obviously all hope that we will not be in a situation that we actually have to, in reality use that. Just a couple of comments what the country is also doing the country and regulatory and the ministries are working on increasing the local storage of gas, a government agency actually issued a tender that we want to purchase and store extra gas in the storage. There’s also some extra motivating contracts for the suppliers to actually speed up storage of gas for the country compared to the previous years. And it is working. I just read an article that Czech Republic is the country with the fastest increase of gas start in the territory over past weeks in all of Europe.
Operator: The next question is by [indiscernible].
Unidentified Analyst: Thank you so much for the presentation. So following up a question on the indirect exposure to Russian gas. So if I understand that if interruption happen, it will affect the electricity segment. But this just have any contracts with other gas suppliers that they need to deliver the gas to or just for the consumers. So what I’m alluding to is there will be any liabilities for CEZ Russian gas suddenly stopped?
Pavel Cyrani: No, we only purchase gas in order to supply our CCGT station for our end consumers. We don’t resell it -- sell any further. We don’t like to have import contract that we would be then resupplying to the rest of Europe now.
Operator: The next question is by Teresa Schinwald of RifisenBank Bank.
Teresa Schinwald: Two sets of questions. The one would be on what would you expect the impact to be on CEZ as neighboring countries abandon the marginal pricing model? We have discussions now here in Austria. And the second one is around distribution. First, could you tell us quickly how the compensation mechanism for loss energy works? Because I’m assuming that the current costs are not covered in the 2022 tariff. And the second one is a broader one. How do you expect the rising interest rate environment. And we also got just today storing information figures for Czech here to impact the distribution and the regulation?
Pavel Cyrani: Okay. Now I do see that there is a number of discussions on the way the market is functioning in a number of countries. It is very difficult to comment on the impact, given that there is such a wide variety of schemes and marketing mechanism that is being discussed. So I think I could only do the math that all of you can do what is the impact of EUR 1 of electricity price on CEZ’s revenues and through revenues also EBITDA. But other than that, it’s very difficult to predict. Now what I see and what I actually internally agree with is the emerging recommendation by European Commission, and that is let the market function to make sure that there is always the supply and demand meet at any given time. And that if anything, use the proceeds because a lot of the -- a large part of the high prices actually goes to the government budget through CO2 allowances through all kinds of taxes, including VAT, in such situation also through dividends and use these proceeds to support those consumers that cannot cope with the higher prices. Because otherwise, if you have -- if you make a significant change in the market design, the opposite of what we need to will happen, what the sector actually needs is it needs to attract new investments into renewables, nuclear, LNG terminals, connectors, gas and electricity in order to reduce the dependency on Russian gas. So we actually need to invest in all of these things. So we actually anything to maintain or increase the trust in the sector. So that’s kind of side commentary questions, otherwise, as for the impact, difficult to comment. Now on the distribution, the way it works is that the distribution buys electricity hedges, electricity order losses upfront. So it is exposed only, if anything, the unexpected changes in distribution losses, we are not seeing anything like that. So what is now in the tariffs has been hedged. And the way it is being hedged, it’s basically as we hedge electricity for the end consumers, and that is the throughout the year that precedes the year of the supply. What we -- where it will be seen is it will be seen in the electricity price for next year, and that will need to be reflected in that direction, it will be claimed by distribution vis-à-vis the regulator that the part of the tariff for the losses for 2023, obviously, will need to reflect the higher price of ‘22. And now on the kind of higher interest rate environment, Martin?
Martin Novák: Generally, as a group, we finance ourselves in euros. So we use euro financing as a natural hedge against sales in euros because power is sold in euros. So we are not suffering that much from increased interest rates on Czech crowns. Yes, inflation is overall present, both in Czech crown and also in euros in Eurozone. So as everybody will have to deal with it. Clearly, when we renegotiate with the regulator -- the new regulatory period, those things will have to be taken into consideration. That’s clear. Now, of course, looking at the company point of view or company situation, we are kind of lucky that the price of our output is inflated significantly more than the cost side, which is inflated, let’s say, with a few percentage points, but energy doesn’t cost EUR 50 a year ago, but EUR 250 today.
Operator: The next question is by Nishan Nam [ph] of SocieteGenerale.
Unidentified Analyst: Just one question on the nuclear fuel supply. Now that you have signed the contract with Westinghouse for VVER 1,000 reactors. Do you -- are there any plans and work in terms of securing alternative supply for the VVER 440 reactors as well? And do you think that Westinghouse is -- could be a potential maybe not now, but in a couple of years, a potential alternative supplier for that kind of fuel?
Pavel Cyrani: Well, simply said, you are right that we signed a contract or tendered a new contract for the fuel supply for [indiscernible] 1,000. At the same time, we also have been working hard on increasing the stock that we had at the nuclear plant for the immediate use. And yes, we will be working also on making sure that there are alternative suppliers of the VVER 440 in order to make sure that we can always secure in a fuel for also to look on.
Operator: [Operator Instructions] There are no further questions. I hand back to you.
Barbara Seidlová: Okay. Thank you, everyone, for taking part in the call. As always, if some follow-up questions come up to your mind, please contact Investor Relations. Thank you very much, and hear you next quarter at the latest. Bye, bye.
Martin Novák: Bye, bye.
Pavel Cyrani: Bye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.